Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Anaplan Fourth Quarter and Full Fiscal Year 2020 Earnings Conference Call. [Operator Instructions]. I would like to hand the conference over to your speaker today, Edelita Tichepco. Please go ahead.
Edelita Tichepco: Good morning, and thank you for joining us on today's conference call to discuss Anaplan's Fourth Quarter and Full Fiscal Year 2020 Financial Results. Joining me on the call are Frank Calderoni, our Chief Executive Officer; and Dave Morton, our Chief Financial Officer.  On this call, we will be making forward-looking statements, including financial guidance and expectations for our first quarter and fiscal year 2021, anticipated future operating and financial performance, strategies, customer demand, product and technologies. These statements reflect our best judgment based on factors currently known to us. Actual events or results may differ materially. Please refer to the documents we file with the SEC, including the Form 8-K filed with today's press release. Those documents contain risks and other factors that may cause our actual results to differ from those contained in our forward-looking statements. These forward-looking statements are being made as of today, and we disclaim any obligation to update or revise these statements. If this call is reviewed after today, the information presented in this call may not be current or accurate.  We'll also discuss non-GAAP financial measures, which are not prepared in accordance with generally accepted accounting principles. Unless otherwise stated, during the call, all references to our gross margins, expenses and operating results are on a non-GAAP basis. For historical periods, a reconciliation of GAAP and non-GAAP results is provided in the press release and in supplemental financial information on our website.  We're planning for today's call to last approximately 45 minutes, and we'll do our best to accommodate your questions following our prepared remarks as time permits.  And with that, I'll now turn it over to Frank Calderoni.
Frank Calderoni: Thank you, Edelita. Good morning, and welcome to our fourth quarter and fiscal year earnings call. We had an outstanding fiscal year 2020, and we'd like to thank our employees, partners and customers who have helped us achieve exceptional results as our first full year as a public company. We remain the predominant leader in the connected planning space, especially with large and complex customers, and we continue to see incredible growth opportunities with impressive new customer acquisitions, while growing our business and footprint with our existing customer base.  Our fiscal year 2020 performance was strong with total revenue of $348 million, up 45% from the prior year and ending the year with over 1,400 customers. Our subscription revenue for FY '20 was up 48% from the prior year. Our remaining performance obligations, or RPO, balance exiting the year was $656 million, up 49% over last year. With the strength of our differentiated platform and the breadth of Connected Planning use cases, we continue to grow our business within existing accounts with average ARR of our top 25 customers over $3.6 million, up from $2.8 million from a year ago. We also have 353 customers with ARR over $250,000, up 42% from a year ago, and we saw similar year-over-year growth in the number of customers with over $1 million in ARR.  The total addressable market and demand for our platform are even larger than we saw a year ago. As recent reports have indicated, the market is experiencing an acceleration in cloud solutions. So to ensure that we are able to capitalize in these opportunities, we have evolved our go-to-market efforts to ensure that we are scaling to meet the demand for our platform, and we're well positioned for long-term growth.  As some of you may recall, when I joined Anaplan over 3 years ago, we implemented several initiatives to direct the go-to-market focus on large enterprise companies, and raised the market's awareness of the value of true enterprise-wide Connected Planning. These initiatives have generated tremendous success demonstrated by accelerated growth in category leadership. Now 3 years later, we are building on this success and continuing to evolve our go-to-market approach. Today, our customers are looking for ways to manage and respond to the rapid pace of change and the uncertainty in their respective industries, such as the volatility in the marketplace and trade fluctuations. And our platform is becoming the obvious choice for enterprise-wide planning. To take advantage of this, we have evolved our large enterprise customer focus into 2 customer segments, majors and enterprise, with greater sales specialization and aligned support resources related to these 2 segments.  We also hired impressive talent in the key go-to-market leadership roles in various regions. And with our current sales leadership talent, we have created a more agile go-to-market team, led by the managing directors from each region. We also want to provide an update on Mark Anderson, our Chief Growth Officer. Mark has decided to step back from his full-time role to spend more time with his family and to help ensure a smooth transition, he will continue to serve as an adviser to me. We'd like to take this opportunity to acknowledge Mark's contribution to our go-to-market strategy, and we thank him for valuable insights. With the go-to-market team structure in place, the managing directors from each region will report directly to me, and we do not have any plans to backfill this role.  Looking ahead, we are confident our evolved go-to-market approach will position us for a strong year. The refined approach to customer segmentation will ensure we focus our resources and teams on the customer accounts with the highest propensity to buy and the greatest need for a broad enterprise-wide platform. We are driving tighter alignment and allocation of resources to these customer segments, ensuring that marketing, partner engagement, executive engagement and targeted solutions will more tightly align to the type of opportunity and customer. This is key to scaling and matching our go-to-market capacity to the market opportunities that will provide the highest returns. We expect these refinements in our go-to-market strategy will drive heightened focus, particularly in the Americas.  We continue to see growing demand for our platform, supported by our pipeline and the tremendous traction in our partner ecosystem and impressive customer success stories. As an example of a recent customer success story, one of our largest customers, a telecommunications corporation with over $100 billion in revenue, operating in 150 locations, recently identified Anaplan as their preferred platform of choice for all operational planning, underscoring just how large the market opportunity is ahead for us. Another great success story comes from a large multinational manufacturer with revenue of $21 billion and more than 70 manufacturing and technology research centers globally. This customer saw over a 30% reduction in their merchandising planning cycle time, made five reductions in forecast error rates, which translated to a full day's supply of product, representing about $20 million of savings. This team was able to take a 4-person, 55-hour forecast process down to 1 minute.  These type of results are game changing when you think about the competitive advantage and the agility this is driving within our customers' business. We have more customer highlights from this quarter that I'd like to share, including a new European customer, a leading international food products company. They are ranked fourth worldwide in their industry with 20,000 employees, multiple subsidiaries and selling to over 120 countries. When this customer was evaluating new business planning technology to roll out in both corporate and across their subsidiaries, the customer was looking to address 2 primary challenges. First, they had many different solutions for financial planning and analytics throughout the organization, all of which were on-prem. It was costly to maintain these applications and ineffective in bringing together a complete and dynamic picture of the total business. Second, the customer understood that in order to drive agility, the business needed to be able to own and manage the solution. Once they learned about Anaplan, a non-IT dependent, highly flexible and fully autonomous for current needs as well as future business scenarios and models, they quickly chose Anaplan with the ability to expand to sales and their supply chain business planning processes in the future.  Another key win for us, a leading insurance provider, selected Anaplan as part of a global finance transformation. This customer had spent 2 years implementing one of the legacy vendors, but the technology was not scalable and flexible enough to meet their global business requirements. For example, managing multiple currencies, multiple earnings profiles for different products and global allocations were a challenge for the other solution, which also came short on the performance and scalability necessary to calculate complex business rules. Lastly, the customer also had to dedicate a significant amount of IT resources from a shared service center to manage the solution. As a result, the customer decided to stop the project and reevaluate. Our capabilities to meet their short-term needs with an FP&A, but also the longer-term ability to consider other use cases and business value outside of FP&A made Anaplan the obvious choice.  When it comes to expand, you have heard us say this over the past year, our ability to expand the use of the platform to other functions, use cases, business units or regions within existing customers is key to our customers' success. One of our largest expand deals this quarter was from a global technology company founded over 30 years ago, generating over $50 billion in revenue. This customer initially deployed Anaplan for zero-based budgeting, sales performance management and marketing resource management. Looking ahead, this customer is undertaking what they refer to as an intelligence transformation project to increase the agility and efficiency of the business, enabling their transition to new business models.  They are also reviewing system simplification and process standardization to reduce cost and improve business performance, resulting in an enterprise performance management initiative to replace legacy solutions and multiple homegrown systems. Across just 2 projects, over $30 million in annual savings have already been identified. This customer plans to leverage Anaplan as their core foundation for planning and forecasting across all of their functions, lines of business as well as geographies. This is the epitome of Connected Planning, and this was all accomplished in less than a year.  Looking at our partner ecosystem. They are core to our go-to-market strategy, and we are very pleased with how it's progressing. In FY '20, we more than doubled the amount of partner-sourced business over the previous year. Our largest deals in the year had significant partner involvement, and partners continue to add significant capacity for selling and delivering Anaplan. In Q4 alone, partners added over 500 new certified Anaplan resources into the market, which brings the total to over 2,000.  At our recent sales kickoff, our 200-plus partner attendees were embedded in, and in some cases, co-led our sales enablement sessions. We recognized our partners at this event, and congratulated Deloitte once again for winning our global partner of the year. We are very fortunate to have such an incredible cohort of partners who are early adopters of the Anaplan platform for driving significant planning transformation with their clients. We are seeing more traction with our partners as they position Anaplan as a broader platform and complementary to some of the legacy transaction systems, which we refer to as Anaplan+.  If we look at how customers leverage Anaplan, it's a middle office planning platform, which means it needs to align with back office transactional systems and front-end systems, such as your CRM and other digital applications. Many of our leading GSIs are taking this Anaplan+ concept to deliver customer value because they are experiencing a major shift in spend towards our type of solution. More and more partners want to engage so they could take advantage early on and be part of this transformation. For example, over the last few months, Deloitte defined the Anaplan+ ecosystem as a complementary software platform to accelerate and deliver even more value with their transformations. So far, Deloitte has developed solutions around Anaplan+ Salesforce in their digital mix solution, Anaplan+ Google Cloud in their precision view solution and Anaplan+ Adobe in their marketing performance management solution.  Deloitte led an Anaplan rollout in a Fortune 25 CPG company that had SAP as their core ERP. Beginning with financial planning, this customer is just in the early phase of their Connected Planning journey as they prepare for workforce planning and other supply chain use cases in the transformation road map. We are also gaining significant momentum with all major GSI strategic partners who all have made commitments to accelerate investments in building their Anaplan practice.  From a recognition perspective, Anaplan was showcased as a major player in 5 different recent IDC Worldwide Supply Chain Vendor Assessments, in sales and operations planning, or S&OP; in inventory optimization; in supply chain demand planning; and in worldwide supply chain planning; as well as in overall supply chain planning. It's important to note that in just 2 years, we have had more leadership placements in overall analyst rankings reports on planning and performance management than anyone else.  For the fourth consecutive year, Anaplan has been recognized as a leader in Gartner's 2020 Magic Quadrant for Sales Performance Management. Sales leaders have visibility into their entire sales organization on Anaplan and make decisions confidently in today's complex selling environment. In addition to traditional sales performance management capabilities, Anaplan for sales also includes sales forecasting, account segmentation and scoring, pipeline optimization and additional sales insights that fuel the go-to-market strategy.  From a marketplace perspective, we believe Anaplan has become the new foundational layer in the middle office, and especially in the office of the CFO. Businesses have moved beyond the system of record and are now searching for a true system of insights, which Anaplan can fulfill. We have seen this in the way our platform is being deployed by our customers to help drive major transformations that affect every part of their business. Let me give you an example. One of our key customers is searching for a Chief Planning Officer, along with 2 new executives in IT. These 3 new hires will form the foundation of their Anaplan center of excellence. This customer has a 3-year road map that shows their continued expansion of Anaplan, which will result in a complete replacement of legacy solutions and a drastic reduction in this customer's reliance on spreadsheets throughout the entire organization.  To fuel this innovation of the middle office, we are focused on providing the talent and ecosystem necessary to help our customers. This quarter, over 700 customers completed Level 1 training, and we continue to see an uptick in the demand for these skills and expertise in the marketplace. We have also seen an increase in the number of companies that have deployed a center of excellence, driving transformation at a significantly larger scale.  From a technology perspective, we are very proud of the pace of innovation we are seeing from our product and engineering teams to provide our customers the best platform experience. We are increasing our scale modeling infrastructure as we release features faster with better performance. This quarter, we released 47 new agile features, and we also beta tested our larger model scaling with early access to some of our biggest customers with very positive feedback. We have also been investing in our AI and ML expertise. And this quarter, we introduced our AI-powered capabilities for predictive sales planning to help businesses optimize sales and revenue strategies and coupled with our new modern user experience in mobile app.  We are making it easier for sales leaders to analyze performance and add inputs from anywhere in real time. Sales operations is becoming the modern-day change agent that leaders are leveraging to find their competitive edge. As we continue to go after larger customers who have higher complexity, we are innovating at an accelerated rate, and we look forward to sharing more at our Connected Planning Xperience user conference, which will be in San Diego in June.  Overall, we had an amazing first year as a public company with how we have positioned ourselves with our customers and partners, which has fueled rapid growth at scale. We had a strategy to become an enterprise-wide Connected Planning platform, and it's now becoming a reality. We have had remarkable momentum and opportunity as we continue to position ourselves as the Connected Planning leader. We feel very confident our customers will continue to be enthusiastic about our solution, and we look forward to another exceptional year.  Now let me turn over the call to Dave, who will discuss our fourth quarter and full year financials and provide our outlook for the first quarter and fiscal year 2021. Dave?
David Morton: Thanks, Frank, and good morning, everyone. Anaplan's Q4 and full fiscal year 2020 results demonstrated solid business momentum, growing broad-based demand for our platform, and we realized steady progress in extending our leadership position in Connected Planning. The go-to-market and platform technology investments we've made, coupled with large and growing global TAM resulted in meaningful velocity in our fiscal year top line growth.  Total revenue for the fourth quarter was $98 million, up 42% year-over-year. Within this, subscription revenues grew 50% and comprised 91% of total revenue. Services revenues were $9 million, down from $10 million in the fourth quarter last year. Total revenue for the fiscal 2020 was $348 million, up 45%, reflecting strong revenue growth at scale and a reacceleration of revenue compared to the prior fiscal year.  Calculated billings for the fourth quarter were $126 million and grew 25% year-over-year. Anaplan's calculated billings can fluctuate from quarter-to-quarter, impacted by timing of renewals and transactions. However, fourth quarter billings were specifically impacted by the management changes discussed earlier. These changes affected alignment around some key near-term opportunities, specifically in the Americas, resulting in a lower-than-anticipated growth in billings. We do not believe our fourth quarter billings results reflect our growth and execution potential, and we are focused on improving these results with the refinement in our go-to-market organization we recently implemented.  For the full fiscal year, calculated billings were $417 million and grew 44% compared to the prior year, and representing our third straight year of acceleration of billings growth. Our remaining performance obligation, or RPO, exiting the fourth quarter was $656 million, up 49% over last year, representing an acceleration of growth compared to a 44% increase in Q4 FY '19. As a reminder, our remaining performance obligations, or RPO, represents the total booked or signed business within a quarter, and we believe this provides a more accurate commercial view into the underlying momentum of our business.  Moving on to our additional key metrics for the fiscal year. Our total customer base continues to grow, exiting FY '20 with over 1,400 customers. The average size of our land deals grew 24%, reflecting the increasing breadth and value of new customer deals. Our dollar-based net expansion rate, or NRR, was 122% for FY '20 and continues to track above 120%.  Turning to our profitability metrics. Total non-GAAP gross margin for Q4 was 77%, up 5 percentage points year-over-year. Within this, subscription gross margins were 84%, up 140 basis points year-over-year; and services gross margins were approximately 3%, down 156 basis points year-over-year. For the year, total non-GAAP gross margin was 76%, up 3 percentage points year-over-year. Total non-GAAP operating expenses for the fourth quarter were $87 million, up from $66 million year-over-year primarily driven by go-to-market investments. For the full fiscal year, operating expenses were $319 million, up 28% year-over-year from $249 million.  With persistent efforts towards driving leverage in our financial model, Q4 operating margins were negative 11%, a significant improvement of approximately 12 percentage points compared to negative 23% in the same period last year. For the full fiscal year, operating margins were negative 16%, representing substantial improvement from negative 31% in the prior year, and demonstrating significant progress towards our financial objectives of productivity and profitability.  Our business unit economics are healthy as we balance rapidly scaling our business with improving economics around our cost of acquisition, contribution margins and payback period. In Q4, our payback period of 22 months continued to improve, and our LTV to CAC trended upwards to 5.4x, slightly higher compared to the previous 6 quarters.  Net loss per share in the fourth quarter was a negative $0.07 based on 134 million weighted average shares. For the full year, net loss per share was negative $0.44, representing a 40% improvement year-over-year. Free cash flow, which is cash flow from operations less capital expenditures, for the fourth quarter was negative $6.1 million, a negative $29 million for the full fiscal year. We exited the fiscal year with $310 million in cash and cash equivalents.  Turning to our outlook. For the first quarter of fiscal 2021, we expect total revenue to be in the range of $102 million to $103 million. First quarter expenses will include targeted investment for an increased rate and pace of innovation and with continued investment in go-to-market, along with seasonality in certain expenses, such as our annual sales kickoff event and annual fiscal year-end audit fees. We expect our non-GAAP operating margins to be in the range of negative 17.5% to negative 18.5%. Weighted average share count for the first quarter is expected to be approximately 136 million shares.  For the full fiscal 2021, we are raising total revenue guidance to be in the range of $463 million to $467 million. We expect calculated billings to track in line with overall revenue growth rates, and our net dollar expansion rates remain above 120%. While quarter-to-quarter billings can fluctuate with the timing of renewals and transactions, we are confident in the growth of opportunities we are seeing in the marketplace. Non-GAAP operating margin is expected to be in the range of negative 12.5% to 13.5%, while exiting the year in position for sustainable free cash flow positive. Weighted average share count for the full year is expected to be approximately 139 million shares.  In summary, fiscal 2020 was a strong year for Anaplan. Throughout the year, we achieved solid revenue, substantial performance in our key business metrics and improved leverage in our operating model. At the same time, we strategically invested to drive business momentum and sustained leadership in the connected planning marketplace over the long term. We are already on our way to executing another strong year in fiscal 2021, and I want to thank all of our shareholders for their support.  Thanks for joining us today, and I'll now turn it over to the operator for questions.
Operator: [Operator Instructions]. And our first question comes from the line of Heather Bellini with Goldman Sachs. 
Heather Bellini: I had two. The first one would be you commented about the execution challenges caused by Mark's departure. I guess what would be really helpful, just given as we're watching the performance of the stock in a pre market, could you give us a sense of how many deals, the dollar value of the deals that you can -- and I know it's hard to quantify, but give us a sense of how much got pushed out that you think got delayed because of the execution challenges? And then I have a follow-up.
Frank Calderoni: So just on your question. So first, let me just go back to what I mentioned before, which was some of this is a victim of our own success. I mean if we go back three years, when I joined, as I mentioned a few minutes ago, the key thing for us to do here is focus on the opportunities. We have so many opportunities we want to focus on it. We did that effectively over the last 2 years. Now what we felt, and Mark was very helpful in helping work through this, was to how do we get a further refinement of our go-to-market so that we can focus on the top deals or the potential deals that would give us the best response from customers, both in new opportunities as well as expand opportunities.  And so we've evolved that go-to-market, as I mentioned, to really have a concentration around our major accounts and our enterprise accounts. Now the major accounts is basically to hone in on those accounts which have a higher propensity to buy Anaplan. And so what we did is we worked with our own technology, some of the technology that we acquired through our Mintigo acquisition, our planning AI group, to really kind of get more refined as to what these customers are, what their profiles are and then make sure that we have the right support in Anaplan aligned to them.  Now the key thing for us is to make sure that we have that all in place at the start of new fiscal year because we saw the opportunity ahead of us and kind of worked through that. So Mark and the team kind of helped us work through that. As part of that process, we made some leadership changes, specifically in the Americas, individuals. We've added some additional leaders, new to the company. And so with those changes, it caused us a little bit of an impact as it relates to some of the opportunities in Q4. But again, the opportunities are there, we're still working on those. As we go into FY '21, which we're now a month in, we still feel very positive about those opportunities, plus even more opportunities.  We had the kick off, a sales kickoff, Heather, back at the beginning of February. So we started the year off very strong. All the new team members were able to get their new accounts, their new territories, so they can get a strong start to the fiscal year. So we feel very confident on the changes that we made to kind of work through the evolution, and we feel very well positioned for FY '21.
Heather Bellini: And then I just had a follow-up based on what you just said and teeing up then a strong start to the fiscal year. So based on the fact that your billings growth in Q4 was about half what it's been running at. And arguably, like, your sales force was going through these changes, yet the management change in the Americas, as you mentioned, should we then be expecting your billings growth -- I mean, if you look at where you ended billings for the year, right, you -- if we take a look at that, you did 25, you had been running between 46 and 59 for the previous 3 quarters. Should we then be expecting that growth in billings rebound because you're going after -- you're better aligned for these bigger opportunities that you mentioned? And perhaps the 44% billings growth that you just registered, obviously, a strong performance for the fiscal year in fiscal year '20. But did that actually -- is there a likelihood based on what you're seeing and how you teed it up and the kind of sacrifices you made in Q4 that, that accelerates in fiscal '21?
Frank Calderoni: So first, let me start by saying that we don't forecast billings. All the statements that Dave just went through, billings can fluctuate from quarter to quarter. We are focused on making sure that we continue to add new customers. We're continuing to expand the existing customers. I think with the new focus around these accounts that we feel have a higher propensity to buy Anaplan and be with Anatel long term, should be a good amount of opportunity as we work through this year.  I'm very pleased with the -- if I look back at FY '20, and the overall growth that we saw, both in land as well as expand, I'd like to see that continue. I think we have an opportunity to continue momentum. Again, I'm not forecasting billings. We'll take each quarter as it comes and make sure that we can continue to refine our go-to-market.
Operator: And your next question comes from the line of Brent Bracelin with Piper Sandler.
Brent Bracelin: I guess first for you, Frank. I'd love to kind of just understand the decision on why you're planning not to backfill for Mark Anderson. Obviously, there have been a lot of changes to kind of sales leadership over the last 3 years. So I'd love to understand the decision there why you're not going to the backfill. And then Dave, again, just wanted to follow-up on Q1 billings. You have a really tough compare here. You did say billings would track overall revenue growth, but it just seems like with all the uncertainty around COVID-19, with all the changes to go to market, it just seems like a really tough bar to -- for billings to snap back here to track revenue growth in Q1. So I'd love to get just a little more color on the comments around billings growth tracking to revenue growth, given just some of -- all of the uncertainty, seasonality, all the challenges you have relative to Q1, which seems like it's more reasonable that billing would be tracking with what you saw in Q4. So any color there, Frank, on that. And then, Dave, just the billings.
Frank Calderoni: So thanks Brent, for the question. So first, again, we're very fortunate to be in the market that we're in, where there's so much potential and opportunity, and also we've had a lot of success there. So the first thing I would say is we will continue to have changed. I say that externally, I constantly say that internally. It's just part of the accelerated growth opportunity that we have and what we've experienced. So as it relates to the sales organization, I feel very comfortable and very happy about the talent that we have in the sales organization. If I go around the world, what we've accomplished over this past year in Asia Pacific has been outstanding. Asia Pacific is a very diverse geography with various different countries, and we've continued to perform very well.  We have a strong leader in place who have been there for 2 years, and she is going to continue to build on that success this year. If I look at the European market, again, we've made a tremendous amount of progress over this past year in Europe on so many different fronts with large customers, new customers, expanded customers. We actually had our largest customer of the year in Europe this year, which is fantastic. It was a major expand across multiple businesses within the holding company, which was outstanding, and we continue to see more progress in Europe. We have a very strong leader who has great experience in various other SaaS companies prior to Anaplan, and so I'm very pleased. In the Americas, where we also have a lot of growth, we have a strong leader there. We've also now supplemented the leadership team in the Americas.  Just -- overall, just to give you a perspective, some of which we put in place towards the end of Q4, others that are started in the beginning of this year. We're adding 14, 14 new, I would say, regional account teams across Anaplan, right? And so all of those account teams have been established. We have leaders in place. They're strong leaders. They've got good experience either from Anaplan or prior to Anaplan, and they're all reporting into these 3 regional leaders. So I feel really confident with those leaders. And I didn't feel based on where we are and what we have ahead of us that we needed to add or have that layer. Again, Mark was very instrumental over the last several months, helping us kind of work through this and help develop -- further develop the team to be ready for FY '21, so I feel good about it.
David Morton: And then, Brent -- sorry, Brent, just following up on your question related to billings. We're always going to be very prudent on our forward-looking guidance, and I feel comfortable in what we provided, and as Frank has articulated, just on the strength and the momentum and just really the aperture of the type of deals we're going after. And so I think when you put that in the context and the thesis, you can start to correlate kind of the opportunities that we look forward to coming into 2021. 
Frank Calderoni: One more thing, but I wanted to add because I didn't say this. As I said, we had our sales kickoff meeting on the 1st of February. It's -- sometimes there's pros and cons about having it like that first week. The pro is, we get everybody ready for the new year. But the reason I wanted to mention this, and we had -- as I said earlier, we had over 200 partners at this event on top of all the folks we have with Anaplan. The excitement that we had at our kick off, the amount of training and support from the partners and also from the Anaplan teams was phenomenal. I was very -- I left that meeting very jazzed about the team and how energized about the opportunity ahead.
Operator: And your next question comes from the line of Alex Zukin with RBC Capital Markets.
Aleksandr Zukin: Maybe just any sense we can get on the timing of the decision by Mark Anderson. Was this made prior to kick off, prior to the closing of the quarter? And then maybe just going back to Heather's question, any kind of quantification in terms of how many deals may have slipped out of 4Q into 1Q that we could get?
Frank Calderoni: So as I said, Mark has been with us for the past 2 quarters. He's worked with us through the month of January and February, closing out the quarter. But also from the standpoint of throughout February, at the kickoff, making sure we had all the go-to-market plans in place. He was -- he led the whole kickoff for the 1st week of February. He's worked with us the last couple of weeks on ensuring that everything was in place. We had all the territories assigned. We had all the quotas issued, again, so we can get a fast start to the year. So he's been very active, very participatory in what we've done. He just made his decision this week, as he and I were talking this week, as far as where he is, and as I said, based on personal commitments that he has and also where he wants to spend his time going forward. That's where he is. Now fortunate, he'll still be as an adviser to me. So I'll still leverage his expertise as we continue to go through the next number of months, so that's helpful as well.  And as far as -- I'll just go back to the question that Heather asked earlier as far as looking at Q4. These things -- it's hard to -- when things are growing so fast, it's hard to continue to add to the team, like some of the leaders that we did add in the Americas, and get everything established as quickly as you would like. I think we've done a good job. So we did have a little disruption through some of those changes towards the end of the quarter, but again, if I look back, we did not lose any opportunities, and that's important to note. It's just a matter of making sure now as we further refine our go-to-market and maintain the focus. The other thing I just -- I wanted to bring up, which I think is important, I just want to highlight. The -- what I mentioned earlier about the partners, the partners have also been extremely instrumental in this as well. I mentioned Deloitte and their Anaplan+, they've been working on that more recently. And to have that in place now at the start of the year and Anaplan+ Salesforce, Anaplan+ Adobe, Anaplan+ Google Cloud, it's not just the naming, but there's really a lot of substance within Deloitte working with Anaplan around these solutions.  And those solutions are ready and they're in the stage of deployment. The magnitude of what that enables for our customers, our joint customers is fantastic. And if you think back, I'll just give you an example of looking at the digital mix, which is the Anaplan+ Salesforce. They're integrating data across their plan to pay ecosystem. That in itself, if you think back of where companies are and the transformations that they're undertaking, that is a fantastic dilution and a service that is applying to many large companies. And that fits right into the focus that we have around some of these majors, where they're looking at territory and quota management, powered by Anaplan; they're looking at compensation and crediting, which is powered by some of the legacy systems that they have like SAP; detailed account and opportunity management, which is powered by their sales force; and then automated data flow, which is powered by MuleSoft.  Think about how that all kind of comes together as a solution that's being marketed by Deloitte and the opportunity that's out there, I think that's just an example. And I think that's why many -- I've been reading some of the notes that have been coming out over the last couple of days from various analysts. And I know you've been connected with a lot of the partners. You're hearing a lot of the buzz. That's why you're hearing the buzz because they're doing a lot of things right now in support of the opportunity, not only for '21, I think they're looking at this opportunity over the next couple of years.
Operator: And your next question comes from the line of Stan Zlotsky with Morgan Stanley.
Stan Zlotsky: Maybe two questions from my end. And so with all the changes that are going on in the sales organization from a structural perspective, how are you thinking about actual hiring of -- around quota-carrying sales reps into fiscal Q1? And then a quick follow-up. One thing that we are hearing from partners coming out of fiscal '20 and as well as the kickoff is the strength of your supply chain business. Where are you on that new supply chain business in terms of not just having Anaplan coming into customers and standing alongside the supply chain modules -- standalone supply chain modules, but also potentially starting to replace some of the supply chain, the solutions that are out there in the market with Anaplan?
Frank Calderoni: Yes. Sure. So let me just go -- part of your first question, as far as the changes, I just want to be clear. As I said, we're always going to be having changes, so that's just a mode of operandi for us, but separate from the change that's going to continue over the next several years. All the changes that were -- that we've put in place for the start of '21 are done, right? So they're in place. We've got leaders in place. We've got territories assigned, aligned with the accounts, aligned with our partners. So as I said, the change is in place, we've put in place the first week of February, we're there, and I think we're already start executing against those. So I just want to -- there's a constant change. I want to put that out there. But as far as any of the changes associated with the refinements that we made in the go-to-market, because it's just a refinement, we're continuing the success of the go-to-market that we had before, are in place. Now as far as supply chain, I can talk about supply chain for a long time.  As you can appreciate, in certain industries, there is a tremendous amount of focus in digitizing the supply chain and making sure that information is available real time because they have to make decisions pretty much on a -- in many cases, on an hourly basis. When you think about a lot of retail customers, CPG customers, when you think about -- I mean, there's so many in the field, I'm thinking about customer segments, we have the cosmetic industry that's all pretty much on Anaplan. We've got food distribution organization. We have technology companies that work that -- they're doing a lot of work. I think even with the environment that we currently have, where there's challenges in supply chain based on various things happening globally, having more insights allows them to pivot better.  And so we have a stand-up business unit on supply chain that's providing support to our field where these opportunities are in place. And we also have various partners in our ecosystem that are providing solutions. I mentioned some before. That -- so we're working with our partners to address these opportunities. 40% of our business is outside finance, it still continues to be about 60-40. Within that 40%, that's primarily split between SPM and supply chain. I will say supply chain is growing at the fastest rate. And we've added -- we continue to add a lot -- many new customers on supply chain, and we continue to see extensions of those opportunities with expand opportunities throughout this past year.
Operator: Your next question comes from the line of Siti Panigrahi with Mizuho.
Sitikantha Panigrahi: I just wanted to ask about the professional services line, that was below our expectation. Was that a factor of this new deals not closed in Q4? Or are you offloading implementation faster than expected? And how should we think about that for FY '21.
David Morton: As we've narrated in and around that before, we'll continue to deemphasize that. Think about our professional services as more of like a sales enablement portion or an absolute backstop. The key to our whole go-to-market, as we continue to evolve, is within the whole partner landscape that Frank discussed earlier. And so it's not there was a de-sell specifically there. It was more about -- that's just something we continue to deemphasize. And over the long term, it will sustainably be less than 10% of our total revenue stream.
Operator: And your next question comes from the line of Scott Berg with Needham.
Scott Berg: I guess the one question I've received most from some of your shareholders this morning, at least in the last 45 minutes, is why make all these changes in the fourth quarter? I think the expectation of change every quarter, trying to refine what you're doing is obviously appropriate given the large opportunity out there, but it seems like most sales organizations make these changes in Q1 versus the seasonally strong fourth quarter.
Frank Calderoni: So first, again, I'm going to just highlight, this is a refinement of our go-to-market, which was important as we continue to focus on some of these opportunities. It's important to make sure as we start the fiscal year that we get these things in place. We're also expanding and expanding requires you to add talent, and so we want -- we wanted the talent when we can add the tenant. There's no right or wrong time. We've got to do it as the opportunity presents itself, right? So I think we've worked well through that. Again, it's not -- we have to -- we want to make sure that we can continue to evolve and not necessarily have any disruption. We just -- in the Americas, we added some additional people. We didn't expect it to have any implications. We had some, but we're there, and we're moving forward.
Operator: And your next question comes from the line of Richard Davis with Canaccord.
Richard Davis: It sounded like to the extent that you're kind of moving a little bit upmarket to larger, more lucrative targets. Historically, when we've seen that happen, so why or why not should you start to see kind of quarterly billings move more towards the more seasonally towards the back end of the year because that's oftentimes how those people buy? And/or will they be bouncy quarter-to-quarter? And yes, I realize billings is a very approximate thing. But until you guys give us net new ARR, we have to kind of live off of that.
David Morton: So the quick answer to your question, Richard, is really we're growing at scale in a very hyper-growth method. And so I don't view seasonality at this point in time, and I think we've narrated on that before. And really, the customers that are going to have the propensity to buy that we articulated a little bit earlier are going to be the ones that -- irrespective of what time of year it is because they may be going through their own digital transformation, looking for further system of insights. And so that -- those economics will be there. That TAM is very addressable. Our competitive positioning is, first and foremost, the strength of our platform. And so we really aren't susceptible at this point in time to some narrative on associated seasonality.
Operator: And your next question comes from Kirk Materne with Evercore.
Stewart Materne: Sorry to keep picking on this. I guess, Frank, just when you think about the changes that happened in the fourth quarter, when you were going through the quarter, was there a misread of where deals were in certain stages of the closing process and that sort of led you to believe it was a good time to make some of these changes? Which I think everybody is going to argue with you that are inevitable and necessary as you all grow. Kind of -- or was it simply just a bad hand off of account sort of control from one person that was coming into the other? I guess the reason I ask is with the sort of the step down in sort of the bookings and billings in the quarter, I think it's important for people to get a handle on that those opportunities were just misread there and they still sort of exist as we go into fiscal '21. So I don't know, I hate to keep asking for more color on that, but any granularity would be helpful.
Frank Calderoni: Yes. So Kirk, I think the key thing here, based on your question is, if I were to step back, if I -- I think there's a lot of positives. First, the opportunities are there. As I mentioned before, it's not lost opportunities, so that's good news from the standpoint. If I look at the overall funnel of potential opportunities, both near term and long term, continues to grow, which is great. It talks to a lot of what we've been doing the last 3 years plus. Secondly, from a competitive perspective, nothing has changed. I know I continue to always get the question about competition. I think from that standpoint, we continue to get stronger, primarily for many of the things I just talked about. The opportunity and the shift in those opportunities and where -- whether it's in finance, whether it's in supply chain, whether it's in sales, whether it's in workforce planning, that transition, that transformation that's going on in more and more companies is accelerating.  And I think if you go back and look at -- I read some of the reports that came out towards the end of the calendar year as they were looking at software spend for the new year, a lot of those reports talk about that shift and where it's going and why it's accelerating. So all of that positions us well. The alignment with our partners, the closer that we get with these partners, whether it's the GSIs, whether it's various other boutique partners that are continuing to grow around the world, aligning with Anaplan, making investments in what we're doing further illustrates many of those previous points and positions us well. It positions us in that middle office. It aligns us with those that are in the front office, those that are in the back office, and helps their partners' clients, our customers, bridge that. And as I mentioned earlier, it's really the transition that's going from a focus on system of record to the system of insights. And all those trends continue to move in our direction. So that's really powerful.  And that's why I get so excited about what we're doing and many -- and that's why I even saw at our kickoff meeting and those of us in the partner, as well as in Anaplan, continue to leverage that. So I just want to position that as far as we have -- it's important for us to continue to refine the go-to-market as we hone in on these. I feel good about how we're now focusing with our partners on where there is a higher propensity to buy, looking at those that are ready for this transformation that are faster, either they're starting or they're further along. And so that's why you've got a -- I did it 3 years ago, step back, let's refocus. Right now, we're stepping back and refocusing. I don't want to overemphasize this. It's not -- we didn't throw everything up and start all over. It's a refinement, and it's a very positive refinement that, as I said, positions us to better work with our partners around these opportunities.
Operator: And your final question comes from the line of Terry Tillman with SunTrust.
Nicholas Negulic: It's actually Nick on for Terry. Just wanted to pivot more toward international. Can you guys touch on international investments moving forward? I guess what you're seeing related to deal size internationally? And also, when you land internationally, is it typically for finance or nonfinance use cases?
Frank Calderoni: Sure. So as I mentioned earlier, we -- if I look at us globally, and I look back on this past year, fiscal '20 for us, we've had -- I can probably say this. I'll just talk about Asia Pacific recently. We've now got in Asia Pacific to start with their $1 million deals, right? So where that started later as far as the evolution within Anaplan, they're now achieving deals that are over $1 million. That's a good success. We have a concentration in Asia in certain markets. The customers that we're working with in Asia are global, global in that they are pan Asia Pacific, but there are also accounts like in Japan that have businesses in Europe as well as in the Americas. From a European standpoint, I mentioned earlier, we had our largest customer this year in Europe. That's not just one. We've had a significant number of very large transactions in Europe continued with aggressive expands. We continue to make investments in both Asia Pacific as well as Europe, from the perspective of adding more resources. So both regions have been doing well, and I anticipate a continuation of that. We are making investments in all 3 in the Americas, in Europe as well as in Asia Pacific.
Operator: And now I would like to turn the conference back over to Frank Calderoni, CEO, for any closing remarks.
Frank Calderoni: So thanks, again, everyone, for joining our call today. I just want to thank all of our customers, our partners and our shareholders and the team members for your continued support, and we look forward to talking to you again next quarter. Thank you.
Operator: And ladies and gentlemen, thank you for your participation. This does conclude today's conference call. You may now disconnect.